Operator: Good day and thank you for standing by. Welcome to Gates Industrial Corporation Q1 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Bill Waelke. Please go ahead.
Bill Waelke: Thank you, everyone, for joining us this morning. I'll briefly cover our non-GAAP and forward-looking language before passing the call over to our CEO, Ivo Jurek, who will be followed by Brooks Mallard, our CFO. Before the market opened today, we published our first quarter results. A copy of the release is available on our website at investors.gates.com. Today's call is being webcast and is accompanied by a slide presentation.
Ivo Jurek: Thank you, Bill. Good morning all and thank you for joining us on our first quarter earnings call. Before I jump into more of the details, let me begin with a few high-level thoughts on the quarter outlined on our Slide 3. We delivered another quarter of above-market growth, achieving a record level of quarterly revenue combined with strong operational execution. Our business is off to an excellent start to the year. Economic momentum is building across most of our end markets, resulting in solid performance for the quarter that significantly exceeded our original guidance and the updated expectations we provided at the beginning of April. Our substantial above-market growth is evidence of the accelerating success we have seen with our innovation investments and growth initiatives, which are delivering solid share gains. We saw continued strength across the business as well as outstanding momentum in orders as we exited the quarter. The exit from the pandemic and the resulting steady economic recovery we are seeing today have created a number of what we believe are transitory headwinds, from the rise in inflation and tight raw material supply conditions to scarcity in labor markets and availability of logistics capacity. Operationally, our teams are agile and proactive, successfully navigating these complexities as well as lingering COVID-induced inefficiencies to drive productivity initiatives that contributed to our significant year-over-year margin expansion. As a result of our strong start to the year and the trends we are currently seeing in our end markets, we are raising our full year guidance, which Brooks will cover later in the presentation.
Brooks Mallard: Thank you, Ivo. Now moving on to Slide 6 where we're continuing to show the regional breakdown of our revenue performance. We delivered strong double-digit core growth across all our regions, with China and emerging markets in total significantly outperforming. Growth in China lapped the worst of the impact from the COVID shutdown last year and was driven by strength across the board. From an end market perspective, we experienced the most significant growth in China in diversified industrial and automotive replacement applications, with both up approximately 100% year-over-year.
Ivo Jurek: Thank you, Brooks. Moving now to the summary on Slide 9 and a few key takeaways I would like to leave you with. We believe our business is positioned to deliver sustainable above-market growth. The investments we have been making over the past several years are accelerating our growth in the market today. We are expanding margins through productivity improvements. Our strong operational execution is focused on supporting the large increase in volumes and delivering strong incremental margins against a challenging operational backdrop. We are positioned to manage through the current operating environment complexities. We remain focused on execution throughout 2020 and kept our regional supply chains open to accommodate demand recovery, which we are now experiencing. We leaned heavily on the Gates production system tools for demand and supply planning early in the recovery, which is now enabling us to better navigate supply chain issues. And our in-region, for-region business model and the investments we've made in our manufacturing infrastructure will assist us in managing through the present set of global challenges. Finally, we continue to generate solid cash flow and are deleveraging the business ahead of our plan, which provides some more optionality around future capital allocation. I would like to conclude by thanking the Gates teams globally for their continued perseverance and focus in delivering an outstanding quarter.
Operator:  Your first question comes from the line of Damian Karas with UBS.
Damian Karas: So I wanted to ask you about recent trends. Obviously, you mentioned order momentum through the quarter and you provided some nice second quarter guidance. But Ivo, maybe you could just give us an update since the end of the quarter, the trends you've been seeing kind of across regions and thinking about the different end markets you plan.
Ivo Jurek: Thank you for your question, Damian. Yes. I mean, we certainly saw very broadly positive demand trends throughout Q1 as I've outlined in my prepared remarks, What we have seen in April, particularly in order rates, certainly reflects the continuation of the same trend and we've contemplated that, obviously, in our updated guide. It's been quite broad across, frankly, all of the regions so we continue to see that strength regionally. And frankly, we continue to see the strength in both of our reported segments. But I do want to note as well that we will be dealing with some incremental headwinds, frankly, particularly associated with labor availability in the United States specifically and the decelerating auto OEM demand as our customers are facing more challenging supply chain issues on their end and I think that the well-reported issues in India associated with COVID. So although I'll reiterate the demand is very strong, we also want to make sure that we would remiss if it did not bring forward some of the incremental concerns that are out there in the marketplace.
Damian Karas: Got it, that makes sense. And you stated that I think you haven't seen any evidence of significant restocking taking place. I know you don't necessarily have great visibility into this, but what's your sense on where inventory levels currently are? Would you say kind of normal or below normal for this level of demand?
Ivo Jurek: I mean, I think that we have actually a reasonably good visibility, particularly in North America and ultimately in Europe as well. And based upon the point-of-sale data that we track very closely, we have not seen -- we certainly don't believe that we have seen any significant restocking that is occurring in the channel. Look, the macro data that's out there indicated inventories are quite low. Certainly, that's been reported by some of the large end users. The commentary from our large OEM customers suggests that the inventory remains very low and that they are struggling to build inventory to support their own underlying demand patterns. So I believe that the strength that we are seeing with orders and the business overall is driven by quite substantially significant underlying demand fundamentals and not necessarily artificial order pattern.
Operator: Your next question comes from the line of Jeff Hammond from KeyBanc Capital Markets.
Jeff Hammond: A couple of questions. One, the North America growth is a little lower, and I'm just wondering how much that is just kind of comp dynamics versus anything else. And then just on, you mentioned the first-fit kind of continuing to outpace or outpacing in the first quarter. Is that what you're seeing in order rates? And maybe just give us, I mean, obviously, the incrementals are very good but what's kind of the mix headwind as you think about that?
Ivo Jurek: Jeff, the first-fit is indeed outpacing and it has outpaced a little bit in Q1, but it's going to be more pronounced in Q2 in particular as in Q2 of last year, vast majority of the OEMs started to shut down their production, and they certainly see more favorable performance in Q2 of '20 with our replacement channels than we have seen with the OEM channel. So if you think about Q2 comps, I think that you're going to see much more substantial rebalance of first-fit being stronger in terms of growth and, frankly, in terms of mix than the replacement channels. That being said, I mean, obviously, we are reporting extremely strong growth year-over-year, nearly 55%, so I think that brings in itself sort of challenges to be able to support that. In North America, we have had a very strong performance over the last quarter -- last couple of quarters. We continue to see very strong growth in North America, and it's more driven by our ability to fulfill those orders than demand growth, Jeff. So I think that as we are balancing our ability to support all of our customers, we are prioritizing making sure that our customers do get the products that they have ordered. And I wouldn't necessarily be looking in the North America growth rate that still, frankly, was actually quite terrific with low teens performance year-over-year. And I think that the overall demand environment remains very strong there as well.
Jeff Hammond: Okay, great. And then good color on the outgrowth, I'm just wondering how much is just purely what you think is coming from differentiated product and some of the new product initiatives versus your ability to kind of fulfill demand versus your competitors in the near term.
Ivo Jurek: Yes. Thank you, thank you for that question. Look, my sense is that we have kept our operations going quite well through the pandemic. And I think that some of the outperformance that we are seeing is especially with the fact that we've been a reliable channel partner for our customers globally. So probably some of it is more of a market share gain through reliability of supply, and my sense is that, that's more of a permanent reset to market share. On the new products, look, over the last couple of years, I have been speaking on these earnings calls about a very substantial amount of design wins that we've had across broad-based, very attractive end markets for us and end markets that we've prioritized to continue to drive longer-term secular growth for our business. And with the more constructive end markets out there, we are starting to see that now show up in our numbers. And we believe that we will continue to deliver a very nice outgrowth to the market recovery well into the future. So we're very constructive about what we have been able to accomplish and now seeing that actually showing up in the P&L.
Operator: Your next question comes from the line of Deane Dray with RBC Capital Markets.
Deane Dray: I was hoping we'd get some more color on your update that you'll be price/cost positive for the year. Take us through both sides of the equation. What kind of price increases did you see in the quarter? What kind of pricing you're planning to put through? And then some more color on the supply chain side, labor has come up a couple of different times. Do you have unfilled positions? And anything about the raws, like the highlight in the industry about natural rubber being in short supply, some of it because of stockpiling, but just both sides of the equation, if you could.
Brooks Mallard: So on the price side, a lot of our pricing announcements went out in Q1 and really became effective at the end of Q1 and into Q2. So from that -- and that's kind of our normal cycle. We were able to pull some of those forward so we're able to get a little bit more price in Q1, but the balance of it will come for the full year. And as we see additional inflationary pressures come out, both on the material side and on the logistics side, we're looking at additional price increases to make sure the dollar-for-dollar that we're offsetting the inflationary pressures we see. When you think about our full -- kind of our full year guidance and what we've given, what I would say is, without getting into specifics on price and everything, when you look at our incrementals, we're going to see about 300 bps of dilution overall on our incrementals what we would normally see, just because you're getting price and inflationary dollars offset dollar-to-dollar but you're not getting any flow-through on that additional revenue. So that's how I would lay it out. In terms of supply, we've been able to manage through material supply constraints pretty well overall. Of course, there's a little bit of cost associated with that as you expedite things, you move things around. Probably the bigger issue that we've been dealing with and Ivo alluded to this earlier is labor availability in the U.S. And so that's kind of the one that we're managing through right now, probably the biggest one that we're dealing with. Ivo, I don't know if you have any additional color on that.
Ivo Jurek: Yes, I think that's well said. I think the way that I would bring that maybe to the part of the question that you have had, the biggest inflation that we have frankly seen has been in metals and in chemical components, resin, carbon black. And on the chemicals side, we've seen -- we've been particularly hit with, frankly, the Texas storm in February that has driven more havoc into the supply chain. But we certainly believe that, that's going to start normalizing in the second half of the year as all of those facilities will get back up and operational. So we think that we are well positioned. We certainly believe that we were forward leaning with taking pricing announcements into the market, and we continue to be very focused on ensuring that the business will continue to demonstrate the strength of our brands and our ability, frankly, on the top of that strength, to offset any inflation in raw materials with pricing.
Deane Dray: That's really helpful. And as Brooks in his answer, when you said dollar-for-dollar on the price increases to the inflation, I was also to ask about what happens because you do get some margin dilution there and he already sized it. So I appreciate the precision and the answer there and it's perfectly understandable. All right. So second question for me is on the growth in belt from chain, this conversion hitting 50% in the quarter was this more of -- are we reaching this critical mass, this momentum now? Is that meaningful? Was it just -- is it an easier comp? I want to just get a perspective on how meaningful this because it is a big jump here and we have been waiting for it. I just want to make sure that we have it in context.
Ivo Jurek: Yes. Thank you for the question, Deane. Look, we have been highlighting for a while since we introduced this initiative today is a very significant available market out there for alternative power transmission technologies such as chains, gearboxes and cables. That's the fundamental out there. Our products have significant value proposition that we have discussed, look, reduced maintenance, they're more quiet, they're safer, they are lightweight, they are more efficient. And when you combine that with everybody's desire to focus now more on ESG initiatives, that's kind of a sweet spot for us to drive these conversions and maybe even accelerate them. With respect to the progress and coming back to the heart of your question, there are several secular drivers out there increased automation not only to improve operational efficiency but also to help address challenges that we all are seeing around the world's availability of labor. Look, e-commerce is accelerating demand for warehousing and logistics. And that is a real sweet spot for supporting some of these underlying trends in this market. If you layer in the product introductions on top of what we have been able to do simply with the design wins, we have been talking about some of these design wins for a couple of years now. That is what is driving the acceleration of this initiative. And frankly, it's not from a small base. It's from a reasonably good base that we have been able to build on. Again, I don't anticipate that we will see 50% incrementals in terms of growth every quarter. But certainly, the long-term opportunity for our business is very robust with this initiative. And frankly, that's what's going to help us to deliver our stated goal to deliver growth well above the base of the industrial market growth rate.
Operator: Your next question comes from the line of Julian Mitchell with Barclays.
Julian Mitchell: And thanks for the context on chain-to-belt just now. Maybe just looking at the guidance for the second half of the year, just wanted to better understand what's informing that revenue guidance in particular. I think it's implying sort of sales are down mid-single digit-plus half-on-half, up maybe mid-high single digit year-on-year in the second half. Doesn't seem like you are seeing kind of excess ordering or pull forwards in the first half. So maybe help clarify what's behind that second half assumption? Is it something to do with what's going on among auto OEs? As when we look back historically, there isn't an obvious kind of seasonal pattern for Gates revenue-wise, first half, second half.
Ivo Jurek: Good set of items, Julian. Thank you for the question. Let me kind of start with, we are certainly anticipating that we will see more seasonally normalized year in 2021. And frankly, I can't even believe that we are asking about normalized seasonality, which I think is a good thing. But I also believe that we are in very early stages of the market recovery, and there is a terrific macroeconomic backdrop to what we see presently. We are seeing very positive trends in the end markets across all the regions that we participate in the channels. And as I said, there's really no evidence of restocking that is recurring in the face of some of the COVID challenges that I think most are still are facing, us included. We are seeing acceleration of sales-related growth due to our initiatives, and we certainly anticipate that those will continue throughout 2021 and beyond. The orders have been very robust. Of course, there have been challenges but we continue to navigate through those challenges quite well, and we anticipate that we will manage all of these challenges throughout 2021. Coming back to your auto question, look, what we have embedded in our guidance, Julian is, frankly, a deceleration in automotive OEM business because I certainly do not believe that we will break through all of the semiconductor challenges that the car companies are dealing with in 2021. I think that they will get better but I don't anticipate that they're going to get all solved in 2021. And I think that, that end market is going to probably become the end market that is most challenged in 2021. I think I hit everything you had an interest in.
Julian Mitchell: Yes. And maybe my second question on the balance sheet outlook. So I think you'll be sort of 2 to 3x, maybe 2.5x net levered at the end of this year. That seems to embed free cash flow being up for the year after that decline in Q1. But maybe when we look at the uses of cash now that you've got more optionality, how full of an M&A pipeline do you have and what sort of returns are you targeting on acquisitions?
Ivo Jurek: Yes. Let me start with the M&A and the optionality out there, and then I will pass it on to Brooks maybe to give you some additional color on cash flow. Although I will start again with it's nice to see more seasonal performance. And seasonally, generally speaking, in the past, we consume cash in Q1 and then as the year progresses, we are able to convert our receivables into cash in the second half, and we certainly anticipate the same thing is going to play itself out in 2021. And on your point, yes, we have consumed cash in Q1, but let's also remind ourselves we have seen over $170-some-odd million of growth in the first quarter year-on-year so that naturally increased our receivables quite a bit. So with that, if I take a look at the priorities on deleveraging the balance sheet and what it means for the long term for the Company, look, we do have a significant number of organic opportunities that we will continue to execute on, but we also have a very solid pipeline of M&A activities out there. We will be very disciplined. We are in a very good shape to continue to hit our organic growth target on -- and we are hitting them on all eight cylinders, cylinders, no pun intended here. So we feel very good about what's happening organically with the business. And we're going to be very disciplined to make sure that whatever potential M&A that we can go after is one that we don't overpay for. As you know, the multiples presently acquired lofty and we've got to be able to generate decent returns on any inorganic activities so that we reward our shareholders over the long term. So the pipeline is very robust, but I also believe that we want to make sure that we are very disciplined here and we will be.
Brooks Mallard: Yes. And just to follow on there. Look, we've made it very clear that we're going to deleverage the business both in terms of paying down debt and through growing earnings. If there's good M&A opportunities out there at the right prices, those are certainly an option but we like the idea of continuing to pay down debt. That helps improve our cash interest, that helps improve our earnings per share. And it really sets us on the path of where we want to be, which is in line or better than our peer group from an overall debt and leverage perspective, and then it creates optionality for us in the future in terms of how we want to allocate capital. So we've got a great set of opportunities in terms of what we do with the cash from the business.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs.
Ashok Sivamohan: This is Ashok Sivamohan on for Jerry Revich. Can you talk about how you're thinking about operating leverage from here if the recovery were to continue into next year? Are there any headwinds to your typical 30%-plus incremental margins that we need to keep in mind?
Ivo Jurek: Thank you for your question. Look, we are very pleased with our incrementals in Q1. As we said, they are on the top of very significant increase in revenue and we've managed it quite well. The core incrementals, again to remind ourselves, were over 47%. When you consider the unanticipated energy surcharges that we absorbed in Q1 associated with the February storm, our core incremental leverage was approximately 50% so right on the target that we have targeted our business to deliver. Our global teams have done an excellent job with keeping our restructuring programs on track, managing price to balance the inflationary environment as well as managing through some of the significant global logistics challenges. Very proud of what we have done in Q1. So moving on to kind of the Q2 and the rest of the year, look, in Q2, we expect to be dealing with some of the most challenging quarter when you consider the very sizable increase in revenue year-over-year as well as some of the headwinds that we've talked about the remaining COVID-19 impediments, raising inflation and so on and so forth. So in 2Q, the revenue again is going to be up over 55%, kind of in the midpoint of our guide. The way we think about incrementals here is more in line with our normalized incrementals that we expect to be kind of in that 35% to 40% as we have discussed that, that would be targeting with the restructuring and the rebuild of our business that we have done kind of over the last two to three years. And so we anticipate that taking into account the large revenue increase, when you take into account the restructuring savings, the price inflation that will offset dollar-for-dollar, we anticipate to deliver core incrementals of approximately kind of 40% in Q2. For full year, we anticipate the incrementals to be kind of in the low to mid-40s, once again driven by the significant volume increase that we have updated in our midpoint of our guidance. And that is right in the middle of the expectations when you take into account that we are seeing, again as we discussed earlier, about 300 basis points of dilution each from the higher volume expectations and frankly, from the pricing expectation that is offsetting inflation but getting no meaningful fall-through with the higher gross margin of business like ours. So we are very, very bullish about delivering very strong incremental margins in 2021 and kind of in the '22 time frame and beyond. Although we're not going to be providing any guidance here on our call, we anticipate that we will be delivering that mid- to high to low 40s incrementals as we get out of 2021.
Ashok Sivamohan: Okay, understood. And following up on the capital allocation discussion, can you talk about how you're thinking about the high end of your leverage range if the right assets were to come along?
Ivo Jurek: We really haven't provided any guidance on how we would think about that. Look, we -- clearly, we are comfortable with the profile of our business. The business is very cash-generative business. Leverage is really not an issue that we worry that much about. That being said, we do feel that it is very important for us to get kind of to that 2 to 3x leverage that we have discussed. We plan to do that earlier than we've anticipated, and when good opportunities for potentially any larger-scale M&A would come, we would think that's true and ensure that we can generate the right returns, the right level of ROIC and the right level of IRR. And we would then decide whether that is something that we would like to undertake.
Operator: Your next question comes from the line of Josh Pokrzywinski with Morgan Stanley.
Josh Pokrzywinski: Just a follow-up on the free cash flow guidance, just reiterating kind of the 80% conversion, just wondering, if you had to put any more precision around that, if free cash flow dollars should be higher than kind of the prior plan? Just that the growth is higher, I would imagine that requires some working capital commitment. And obviously, you guys have talked about supply chain tightness. And then if the percentage conversion, wherever that falls and kind of the better than 80%, if that's something that you would think would sort of be at similar or below where you would have thought prior.
Brooks Mallard: Yes. So from a dollars perspective, obviously, with the higher growth, we're going to generate more cash dollars. I won't go any probably -- I won't go into any more detail than that. I would say I think a lot of it is dependent on how the volume equation evolves over the year. We feel confident in the 80% and being above the 80% number. But clearly, that's going to be somewhat driven by how the volume evolves through Q2 and through the balance of the year. At a minimum, we'll be able to be at 80%. If things break our way, could we be a little bit higher than that? Maybe. Irrespective, as Ivo said, this business generates a lot of cash. It's not overly capital-intensive. We're able to manage through our working capital fairly well. And we're confident in the ability to generate cash in this business as we move forward. So we feel good about where we are today, normal seasonality returning. We had some cash outflows in Q1, but historically, that's been the way the business operates. And we feel confident about our ability to generate cash through the balance of the year.
Josh Pokrzywinski: Got it, that's helpful. And then I guess on the general industrial strength that you'd pointed out, clearly some wins out there in the marketplace. Any more that you can talk about in terms of end market applications or kind of first-fit versus replacement? Obviously, chain-to-belt would be more of a replacement phenomenon that would maybe add some context on what you're seeing out there within that market.
Ivo Jurek: Josh, let me point out that the chain-to-belt opportunities actually across both channels, lots of -- we have had a number of design wins that go through the OEMs, so we're now starting to see design wins with OEMs. You should think about all the personal mobility and recreation as an OEM set of applications, not replacement market applications. And clearly, we have an incredible momentum in personal mobility and recreation over and above as well, very robust performance on the industrial applications. But if you go back to some of the calls that we've had over the last couple of years, we have highlighted areas such as food and beverage, pharma, chemical processing, to name a few, as infra logistics as markets that are very robust for us, particularly on the industrial side. And even for those, we see an ability to generate revenue not just through replacing existing applications but we also see design wins and conversion of equipment that is in stages of design that goes through OEMs, not just through the conversion channel.
Operator: Your next question comes from the line of Andrew Kaplowitz with Citi.
Eitan Buchbinder: This is Eitan Buchbinder on for Andy. So it's encouraging to see a recovery in Fluid Power progressing during the quarter. Can you discuss what your percentage of capacity utilization was for the segment? And given recently added capacity, how much room for further margin expansion is there as utilization improves?
Ivo Jurek: Thank you for the question. Look, the capacity utilization is very quickly rising. I think that we're still bringing up all of the capacity that we have put in place during 2018, early 2019 time frame. So we feel good about where we sit in terms of capacity utilization and how much room we have available. In terms of margins, again, we're not going to provide a specific guide on reportable segments, but we certainly do believe that we have a room to run and certainly an opportunity to continue to drive further expansion from what we have reported today. I would also remind you that we have increased our midpoint of EBITDA margin for the year by 90 bps at the midpoint. And we've certainly embedded our opportunity to further expand Fluid Power margins in that.
Eitan Buchbinder: That's helpful. And during the prepared remarks, you called out strong order momentum throughout the first quarter. So realizing that you're a short-cycle business, has there been any backlog build driven by strong customer demand or supply chain constraints? And do you have any increased visibility versus normal?
Ivo Jurek: Yes. So again, we are not a backlog business, but I will say that we have increased our backlog in Q1. There's certainly incremental visibility to what we would normally have. And I would again point you back to our prepared remarks. Order rates have been very strong. We have applications that certainly in the early cycle as well as the mid-cycle and the latter cycle businesses such as oil and gas and some of the industrial automation businesses that they are starting to ramp up in earnest. And we feel quite optimistic about what we see in terms of the market recovery momentum, across -- frankly, across the globe. Now that being said, again as I mentioned, there are some headwinds, certain regions like India, Southeast Asia, we've got to pay more attention to those regions as well as what I said about the automotive OEM business that we anticipate is going to continue to face challenges for the remainder of the year. But despite those challenges, we've taken our midpoint of our guidance of over $200 million.
Operator: And there are no further audio questions at this time.
Bill Waelke: All right. Thank you, everyone, for your interest in Gates. As always, the team here is available for any follow-up questions, and we look forward to providing our next update on the second quarter. Have a good day.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for participating. You may now disconnect.